Operator: Hello and welcome to today’s Commercial Metals Company’s third quarter 2010 earnings conference call. At this time all participants are in listen-only mode. After management’s remarks, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, June 22nd and your participation implies consent to our recording this call. If you do not agree to these terms, simply disconnect. Your host for today’s call is Mr. Murray McClean, Chairman, President and Chief Executive Officer of Commercial Metals Company. Mr. McClean, please begin your call.
Murray McClean: Good morning and welcome to CMC’s Third Quarter Fiscal 2010 Conference Call. With me is Bill Larson, our Chief Financial Officer. And as usual I’ll begin the call with an overview of the third quarter and then ask Bill to provide further details. Finally, I’ll comment on the outlook for our fourth quarter fiscal 2010, which ends on August the 31st. In terms of an overview of the quarter, obviously, it was a much improved quarter. The spring construction season stimulated demand for scrap and steel products. Ferrous scrap prices peaked in March was stable in April before declining in May. Steel prices such as rebar merchants peaked in April and then started to decline in international markets during May. They were stable here in the U.S. during May. Restocking occurred across the supply chain but was largely over by the end of May, particularly in international markets. The fallout from the Greek financial crisis impacted markets in Europe, in particular, Southern Europe towards the end of the quarter. As well, China’s deliberate action on slowing its economy in particular focusing on the spec [ph] of the real estate markets caused to pause in other Asian markets. By segment, our recycling operation returned its best profit result in seven quarters based on high shipments, better prices and better margins. Our U.S. steel mill had a very good quarter with a rolling capacity utilization rate of 75% which was higher than the 68% that we had forecasted previously. Our U.S. Fabrication operations had a loss mainly due to a low priced backlog when faced with rising steel prices. On a positive note, the backlog did expand during the quarter and at better prices, as steel prices rose with significant highway work including some stimulus project work being awarded. Our international mills made a loss overall, however, Poland was profitable. And mill in Croatia suffered from a low price backlog and rising scrap prices as well as start-up costs for the new melt shop. Our Marketing and Distribution Group had a very good quarter led by our raw materials division CMC Cometals. In addition, we did well in Australia, Asia and in the European markets. I’ll now ask Bill to provide the details on the third quarter.
Bill Larson: Thank you, Murray. Good morning. Let me call to your attention the detailed Safe Harbor statement included in our press release and in our August 31, 2009 10-K that in summary says that in spite of management’s good faith, current opinions on various forward-looking matters circumstances can change and not everything that we think will happen always happens. In addition, we’ve given guidance regarding our outlook for the fourth quarter of fiscal 2010 in our press release. Subsequent to this call, we will not be under any obligation to update our outlook. In accordance with Regulation G of the Securities and Exchange Commission, you are aware of non-GAAP financial measures. Some of these have derived fairly straightforward from our financial statements or in common business use can be the subject to our discussions today and in our investor visits, but there are other items that may be outside of our ability for discussion. You may need to be patient with us if we defer comment. And I would direct you to our Web site, where there is additional information at cmc.com. Well, the tide turned for us in our third quarter. It seems as if previous to March 1st all the news was bad or trending bad. During this quarter, news was generally good or trending good. Murray has noted some of these. I will mention some others. I think we need to take all of this in context. No one is going to start doing their snoopy happy feet dance based on what transpired this quarter. In certain segments, signs of recovery are fairly clear. In others, it’s hard to read past the next month. It’s not terribly different than the French soccer team. You don’t know what’s going to happen if and when they take the field. We’ve been positioning CMC over the last six quarters to take advantage of the uneven economic recovery, which is underway. This includes making the operational base consistent with the demand in the market. And let’s review some of those undertakings. We exited the joist and deck business. We have absorbed $54 million of charges not counting normal operating results associated with this decision. We have an active divestiture program underway and expect to have substantial wrap up by August 31st. Our SG&A is down $62 million from the nine months of last year. We have made the difficult decisions to close locations and downsize our workforce. We have cut discretionary spending, including our incentive compensation with our SAP system rolled out to most of our substantial manufacturing locations. We are reaping both the benefits of the system and the absence of implementation fees. In addition to our ERP system, we have brought three significant CapEx programs into production Our Arizona micromill, our melt shop in Croatia, and our wire rod block and new flexible rolling mill in Poland. A quick note on each of these Arizona is performing magnificently, and is expected to reach full production by August. Our melt shop in Croatia is casting quality round blooms and increasing its number of heats weekly. The wire rod block in Poland has allowed us to roll higher quality niche products. New flexible mill is commissioning the back-end and should be ready by the end of the fourth quarter. All of this was accomplished without compromising the financial strength of CMC. We continue to have one of the highest quality balance sheets in the industry. Only 3.5% of our assets are represented by goodwill and intangibles. We remain on LIFO accounting for inventory. We have substantial bad debt reserves on top of credit insurance and letters of credit underlying our accounts receivable. We met our covenant test at 5/31/10 and believe that our fourth quarter will result in even stronger metrics; this after getting waylaid by a large LIFO charge this quarter. The trend in higher ferrous scrap prices earlier this calendar year has now flowed through to the other segments. Only our domestic fab field to show significant sales growth versus the third quarter of last year, as Murray mentioned, they are working off a low value backlog. We have discussed on other occasions the strategic value of our International Market and Distribution Segment as well as its low cost high return on capital business model, as it has in past recoveries. It leads CMC identifying the markets the first opportunity both for the quarter and year-to-date they are the clear savings leader. I’ll reiterate my life philosophy, live by LIFO, die by LIFO. The larger expense numbers are why we ended up at the lower end of the earnings range that we had mentioned a few weeks back. The LIFO reserve at May 31st is $266 million. For the quarter, LIFO decreased net earnings $22 million or $0.20 per share versus last year’s. We had income of $29 million or $0.26 per share. And year-to-date for the nine months it’s decreased net earning $16 million or $0.14 per share, whereas last year we had income of $184 million or rather whopping $1.62. Depreciation expense for the third quarter was right at $40 million. That leaves it at a $128 million for the year, not counting almost $33 million of impairment charges we’ve taken on joist and deck. I would anticipate that depreciation for the year will be about $170 million, not counting the impairment charges, which if you tack them on in the end of impairment charges are nothing more, but accelerated depreciation that will give the non-cash charges for depreciation right at about $200 million. We talked earlier on the second quarter call that we had instituted an interest rate swap. This was effective on May 23rd and lowered our interest expense for the quarter of $2.1 million; because it was an effective for the entire quarter I suspect that the benefit in the third quarter will be higher possibly $2.5 million or so for the fourth quarter. I’ve already touched on the lower SG&A expense for the quarter. The effects were pretty well evenly split between lower labor cost, professional services, bad debt and incentive compensation. Finally, some statistics, book value per share at May 31st is $10.71. The earnings per share were calculated for the quarter on a diluted share count of 114,067,000. For the year-to-date the count is 113,279,000 and the actual number of shares outstanding at May 31st was 114,291,000. We spend about $22 million in capital expenditures for the third quarter. Year-to-date that puts us at about a 110 million, most likely, we will come in under a $130 million for the fiscal year for capital expenditures. Murray?
Murray McClean: Thanks, Bill. The outlook for the fourth quarter. We anticipate being largely profitable in our fourth quarter. We predicted on our previous call, a price correction by mid-2010. This happen staring late April, early May in international markets and is expanded to the U.S. over May-June periods. It’s clearly task was scrap and then flows through to steel products. International scrap prices and many steel products prices have retreated back to January-February 2010 price levels. We anticipate prices to moderately trend lower until August when a modest rebound is likely to occur. Some of the price volatility is seasonal with the slowdown in demand. However, the uncertainties in the Euro zone, as I mentioned Greece plus others. China deliberately slowing its economy. And the relatively strong U.S. dollar adds to pricing pressure. In the U.S. many sectors of the economy remain in recession including private non-residential construction. Other parts of the economy performing reasonably well. Obviously, there has been a pickup in automotive, aerospace and the oil and gas industry despite the BP spill. We don’t know what the outcome of that will be, but clearly, onshore operations are still performing okay. We have concerns with funding for the public sector for non-residential construction, certainly once the stimulus dollars run out and before a new transportation, that’s a highway bills approved hopefully in 2011. Our restocking, as I mentioned, in the most product segments is now largely over. Inventories, however, along the supply chain remain relatively low. China, maybe, except for inventories, they do have high inventory levels with iron ore. It’s about 77 million tons at the ports now and some steel products within China. However, China, as you know, have announced over the weekend, the gradual appreciation of their currency. They did this in the 2005-2008 periods and the appreciation there was roughly 5% per year. We anticipate it will be similar going forward. And clearly, this will help to slow down steel exports from China. Even more significantly, China announced overnight removal of significant VAT tax rebates. These were effectively export subsidies on key steel products, such as hot rolled coil plate and cold rolled coil to be effective July the 15. And this will definitely slow down the steel exports from China in the short-term. Just looking at by segment for the fourth quarter, our Recycling segment, we forecast to be profitable, but significantly below third quarter results based on we anticipate clearly lower prices and lower shipments of ferrous scrap, which will impact margins. Non-ferrous scrap volume should be okay, but prices remain volatile. International demand for ferrous scrap is unlikely to pick up in our view until August. U.S. domestic mill demand for ferrous scrap may be lower than the third quarter. For Americas Mills segment, we anticipate similar performance throughout third quarter with improving performance, as Bill mentioned, at our Arizona micromill, plus better metal margins. This will be offset somewhat with overall lower shipments With our Fabrication segment here in the U.S., we anticipate another loss. We’re still working through low priced backlog, which will be shipped to have most of that during this fourth quarter. The International Mills segment, this segment could surprise a upside based on good shipments at Poland, plus improving metal margins, also the operating losses at Sisak in Croatia are likely to decline with better shipments and better margins. So, we’re hopeful that Croatia could be breakeven by August. Our Marketing and Distribution segment, we anticipate a good fourth quarter. Clearly, it will be not as good as the third quarter, but still will be a good quarter. Prices for most of our products and certain raw materials have declined over the last one month or two months. Demand has certainly been impacted, as customers take a wait and see approach to buying and certainly, as prices declined in many steel products, customers will sit back and like to see if the prices will move down further. So maybe Bill just talked about the French soccer team but maybe everyone is taking a pause at the moment to watch the Soccer World Cup. With those comments, we’ll now open up the conference for questions.
Operator: (Operator instructions). Your first question comes from Kuni Chen at Bank of America/Merrill Lynch.
Chris Brown - Bank of America/Merrill Lynch: Hi, it’s actually Chris Brown calling in for Kuni.
Murray McClean: Hi, Chris.
Bill Larson: Good morning, Chris.
Chris Brown - Bank of America/Merrill Lynch: With other micromills getting funding from China, how does this impact your approach? Is there a rush to get there first? And then how far along are you in identifying other potential locations for micromills?
Murray McClean: Well, we don’t think because of location, Chris, it will impact us at all. They are at Mississippi with that joint venture, which as I understand hasn’t been finally approved as yet. So realistically, a micromill is a regional mill, so in the U.S. will have no impact. And we’re still looking at areas, not just in the U.S. but internationally, for our second micromill that when we’re ready to make announcement about that we will.
Chris Brown - Bank of America/Merrill Lynch: And then China is currently producing at a 675 million pace. Do you expect a slower pace going forward and do you think this slower pace will impact raw material prices and trade flows?
Murray McClean: Yes, we think China’s move is definitely to slow down their economy overall. As I mentioned target the real estate market, but also the steel industry, they want to slow that down, they want to consolidate the steel industry further. And our view is, they want to reduce the GDP from 10% to 11% pace back to 8% to 9%. So that will slow definitely the steel production and then made announcements about new projects that they will not approve any new steel projects through the end of 2011. So all those measures I think will definitely slow down the production capacity, our new production capacity growth rate in China. So China will slow from that point of view, but bear in mind, with a GDP of even 8% to 9%, that’s really strong, so the demand is still strong for many of their products and the infrastructure work remains strong within China. It clearly will have an overall effect on raw materials. We see prices have moved down. As I say, we anticipated the correction, around mid-year this has happened and we believe that there may be a modest rebound in three months or four months time, price will start to move back up modestly.
Chris Brown - Bank of America/Merrill Lynch: Great. Good luck.
Murray McClean: Thank you.
Operator: The next question comes from Chris Olin at Cleveland Research.
Chris Olin - Cleveland Research: How are you doing?
Murray McClean: Good morning, Chris.
Chris Olin - Cleveland Research: Actually, I have a couple of small questions here, but to start with I am hearing the July scrap price. I am not sure if you referred to this, could be down in the neighborhood of $40 bucks a ton, does that sound realistic?
Murray McClean: Yes, we anticipate at this stage maybe $20 a ton to $40 a ton and definitely seems to be trending lower.
Chris Olin - Cleveland Research: And then, on our comments about the Chinese iron ore inventory, I am curious how do you frame up that 77 million tons versus like a normal level or how long will it take them to work it down? Do you have any thoughts on that?
Murray McClean: They can work that down fairly quickly at normal levels round about 70 million tons that has been lower, but just based on their demand within China so they can work that down pretty quickly. The other measures within China to slow their economy down take may be two months or three months to kick in. China, as we’ve seen unlike most countries around the world can take action, take it very quickly and you can see a big difference certainly within a quarter.
Chris Olin - Cleveland Research: We get a lot of good data points on the Dallas region or even Texas in terms of infrastructure spending and a number of projects going up. I am curious with your asset positioning. Are you gaining share in that region, are you seeing a lot more demand in Texas? Can you give me a little help there?
Murray McClean: We can only speak for ourselves, but, yes, certainly, Texas, I think of all the U.S. states and I speak with the Texas accent hint I am pretty biased is doing very well on the highway work and we’ve been awarded some good highway work in the last quarter so that looks pretty promising. So, yes, we have a good position in Texas and hopefully that will continue.
Chris Olin - Cleveland Research: And is there any change to the utilization rate as it is right now that you referred today at?
Murray McClean: We haven’t. We actually were surprised on the upside with that utilization rates on a rolling basis bit at 75% for the third quarter. We think it will be down a little bit to maybe 69%, 70% around that area for the fourth quarter. A couple of reasons; the restocking as I mentioned is basically over. A lot of customers in the third quarter were certainly restocking and in that March period, we were trying to beat the price increases so they’re ordering more. That seems to have quietened down. But even at 69%, 70%, we’ll be quite happy with that. And that doesn’t include Arizona mill at that rate.
Chris Olin - Cleveland Research: All right. Thanks a lot. Keep working on the Texas action.
Murray McClean: Thank you.
Operator: The next question comes from Brian Yu at Citi.
Brian Yu - Citi: Good morning. Thank you. A question regarding your fabrication business. I think you mentioned that losses that will narrow in the fourth quarter. Can you give us a sense of when that operation might break even given what you’re seeing in terms of the backlog build and the type of contracts that you’re winning these days?
Bill Larson: Brian, this is Bill. If the pricing trend continues as it has been which is relatively stable for rebar fab and that there is a downward pressure in scrap prices, I would suspect that with the pricing of the backlog that they won’t make it this quarter, although August they might. Let’s set LIFO aside which should help them in a period of slightly declining prices, but setting LIFO aside, I would say they probably set themselves up for September-October period of time they turn it around barring any significant increase in pricing.
Brian Yu - Citi: Okay. And then I just wanted to run through the guidance you gave out earlier, to make sure I have it downright. So in terms of sequential comparisons in 4Q are you expecting Americas Recycling profits to be down sequentially, international marketing and distribution down, international mills up, fabrication up and then kind of Americas Mills essentially flat quarter-on-quarter?
Murray McClean: That’s a reasonable assumption.
Bill Larson: And that’s kind of FIFO versus FIFO. The way you’ll add it all up and figure out the change between the third quarter and the fourth quarter is at least we don’t anticipate $34 million worth of LIFO expense sitting in there. So that will be the great equalizer. Again, if pricing continues to trend flat to a little bit down, one would suspect LIFO is going to give you a rather benign answer.
Brian Yu - Citi: And then you mentioned earlier that you expect July scrap price to be down $20, $40. From the demand you’re seeing, can you differentiate between what type of pull you are seeing from the domestic mills versus international. Is it mostly because international demand has died down and that’s probably what’s driving the prices?
Murray McClean: That’s correct. In the last quarter, Brian, is really pulling off. So it’s more to do with international demand than domestic demand. So, until Turkey and some of the Asian countries get back in the market in a significant way, prices will tend to go low. So we think that will happen in July, but we think by August, certainly, Turkey and some of these countries will have to stop buying for the full period. So then we think it will start to reverse.
Brian Yu - Citi: Okay. And then last question and I’ll get back in the queue. With the domestic flat roll mills, there have been some blasts versus shutting down. I’m wondering if you’ve seen any of the domestic related flat roll, whether it be recyclers maybe curtailing some of their scrap buys?
Murray McClean: We supply some obviously primary to scrap. Yes, maybe it’s seasonal, but depending on which mill, but most of scrap is we really supply to a long products mills.
Brian Yu - Citi: Great. Thanks.
Operator: The next question comes from Timna Tanners at UBS.
Timna Tanners - UBS: Hi, Good morning.
Bill Larson: Good morning.
Murray McClean: Good morning.
Timna Tanners - UBS: I just want to drill down a little bit and get some color from you if you could on non-residential construction. And any color you have on what gives you conviction that we may be near a bottom and how to think about that going forward what leading indicators you might look at?
Bill Larson: It’s pretty easy to sum about non-residential construction. It doesn’t exist. What indicators we have and where the strength is, is clearly in the public sector. What commercial work there is, is pretty much been combined to healthcare and to educational, but that would be higher educational building. We are pretty much seeing the affects, the better profitability is as much seasonal and the margin expansion with the lower ferrous scrap prices as it is any great upturn in the markets, but we don’t see that the markets are going to get any lower than they are. It’s kind of hard to go below zero.
Murray McClean: Timna, we think we’re at the bottom. We don’t see any clear signs on the private side. I mean still very difficult for our customers, small companies. You would know better than us. Getting funds from banks are very restrictive. We hear some cases where some builders have to get a 100% of a new facility lease before they can get the funding. I mean this is almost come from one extreme to another. So the life is still very tough. And I don’t personally think it’s going to change until maybe some time next year that we start to some recovery, but still very difficult on the private side.
Timna Tanners - UBS: Okay. It’s helpful and consistent with what we’re hearing. I want to drill down a little also in Europe and I know that the May quarter imagine might have been a little early to see any impact from the Euro and its weakening. But I’m wondering if you could talk a little bit anything you might have been seeing since then or any indication of any impact?
Murray McClean: Europe seems to be now almost divided in two. This is a generalization. Southern Europe, obviously, Greece, Italy, Spain, Portugal, those markets, typically long products have been devastated. But Northern Europe seems to be performing better. One of those countries, obviously, Germany is a very big exporter of manufacturing heavy equipment, etcetera, cars, automotive. And certainly the weaker Euro is helping them. But even in Northern Europe, countries like Poland, infrastructure is still quite strong and is strengthening over summer. So it’s almost split in two. Obviously, the U.K. has got their problems and Ireland, but depends where you are in Europe. But clearly, the problems stemming from Greece will slow down growth in Europe overall you’d think for the next one year or two years of the recovery.
Bill Larson: We have gotten some enquiries, as the dollar has strengthened against the zloty and now against the Euro. We have gotten some enquiries for export product out of Poland. So with a stronger U.S. dollar it makes exports much more viable. So don’t know what that’s going to translate into, but people are talking about it, Timna.
Timna Tanners - UBS: Got you. Okay. Now last one for me. I don’t know how much you can talk about the mention of a potential sale or divestiture of your downstream assets, but do you know if the folks that you might be talking to would run those assets, can you give us an idea what might be shut there?
Bill Larson: I don’t know. You’ll have to call them.
Timna Tanners - UBS: Okay. So you don’t, you can’t comment on that?
Bill Larson: Right.
Timna Tanners - UBS: All right. Thank you.
Operator: The next question comes from Wayne Atwell at Casimir Capital.
Wayne Atwell - Casimir Capital: Thank you and good morning.
Bill Larson: Good morning, Wayne.
Wayne Atwell - Casimir Capital: I had a quick sort of esoteric question for you. We’ve seen quite a rise in the met coal and iron ore prices. And what impact is that going to have on electric furnished shops. Theoretically, obviously, the competing iron input costs are going to be much higher than they would have been two years, three years or four years ago. But is that necessarily going to benefit your business model or is it going to be irrelevant? If one would assume prices to be higher maybe you can tack on a higher margin, can you sort of talk to that issue?
Murray McClean: In the U.S., we don’t follow met coke prices that closely, but in the U.S. obviously, we compete without the long product produces, electric arc furnace producers, so that’s scrap by. So met coke and iron ore don’t concern us in the U.S. as much, but certainly, in Europe, we’ve noticed the higher cost structure now for the integrated mills who produce long products like rebar and wire rod. They definitely had a disadvantage at this point in time and we’ve seen, for instance, in the Czech Republic, where we have a 11% shareholding in Trinecke zelezarny. They have actually stopped the production of rebar and focused on higher quality long product. So it is having an impact in Europe. U.S., I don’t know. We’re not exposed to that.
Wayne Atwell - Casimir Capital: In the U.S., I was thinking that obviously, Turkey and in Asia and all over, they will tend to import scrap when it’s attractive. So they would tend to drive the scrap price up, because they would be competing, iron content would be of course generated with the met coal and iron ore. So even though you are absolutely right, you wouldn’t compete with people who used met coal and iron ore to produce steel here that you make. You would compete globally with those who do consume scrap even for flat roll or whatever. Any thoughts on that or is sort of answer the same?
Murray McClean: I think it’s the same way. I think it’s interesting in China for argument sake. China was a big importer of the scrap last year, mainly because the prices internationally were lower than prices in China. Now that’s reversed. In China, they look at a correlation between pig iron prices and domestic scrap prices so that I watch that pretty closely. And if they get the other balance they would import more scrap. At the moment, international scrap prices certainly from the U.S., Ohio, have been higher than China.
Wayne Atwell - Casimir Capital: And then lastly, I realize you have a lot of different facilities, but what is your general operating rate?
Bill Larson: Good. I mean that’s going to break it out. I would tell you if you look at our American mills, those mills that have an ability to run rebar are running much higher than the mills that only run merchant. So as a general distinction, the recyclers and the fabricators, I will tell you are probably running between 70% to 80% of their capacity but understand that over these last two years, it’s not the same capacity that we had coming out of 2008. We have shuttered some facilities, we’ve downsized others. So those that are still operating are operating at relatively high levels, but there is not as many of them, Wayne.
Murray McClean: And also, Wayne, some operations, and have a one shift operations, in the past, we might have had two shifts. And those people who are on the one shift, who are working flat out, and it’s quite a bit of overtime, particularly, over the summer time. So, it’s pretty difficult. You really can’t compare apples with apples in this environment.
Wayne Atwell - Casimir Capital: Right. And how about Poland, Czech Republic and Croatia?
Bill Larson: Croatia in their melt shop is running flat out. They are trying to increase the number of heats that they melt every week. They are also refining the chemistries in the blooms in order to hopefully and this is not baked into the numbers. It would be a plus to be able to sell some of the blooms by the end of the fourth quarter. Their backlog is building. And so I would say that Croatia is running at a relatively high level. Poland is – I got to give you a little bit of color on this one. They are not running flat out, but they are running well because they are now targeting more niche products, this wire rod block that we have is able to convert a product into a much higher engineered steel than the commodity steels that would come off our other mills. So they’re weighing, they’re picking their niches and so the volumes won’t be as impressive knowing that they can roll X number of tons, but they are aiming at the higher value product. So actually, they’re going to do better with less.
Wayne Atwell - Casimir Capital: Okay. Thank you.
Operator: The next question comes from Sanil Daptardar at Sentinel Investments.
Sanil Daptardar - Sentinel Investments: Thanks. Morning.
Murray McClean: Morning, Sanil.
Sanil Daptardar - Sentinel Investments: You mentioned about the public works basically, the construction money, the stimulus money may run out probably and then you have to wait until 2011 for bridge construction activity. Now if that’s the case in private sector, not rebounding, the volumes if I assume going into the fourth quarter and the first quarter of fiscal 2011 might be becoming sequentially lower than the third quarter. Is that a right assumption?
Murray McClean: Yes, depends on the funding, but we have to assume there will be some funding available for highway and bridge work going forward, but certainly, the stimulus funding has been disappointed for us anyway. We have seen a lots going in to what we’d say light construction, national paving, that’s the thing which is good for the oil companies, not so good for us. But, in terms of heavy construction, when I talk about heavy construction, bridge work and we’re using concrete and rebar and structural steel that has been disappointing and we think that will peter out most of those projects sometime next year. So, yes, definitely, you need something behind that. So we would hope that there is a meaningful highway bill introduced some time in 2011.
Sanil Daptardar - Sentinel Investments: Okay. What is your exposure to the aerospace, oil and gas? I believe automotive might be very negligible I think, but aerospace and oil and gas industry?
Bill Larson: It’s not large. The one operation that would focus on that would be Sisak in Croatia with their line pipe and actually, that’s not setting aside the horrible publicity. And when you are here in Texas that hits right at home about the oil spill line pipe, which is predominantly their main product is doing relatively well and lost in kind of the tragedy is the fact that natural gas continues to do well and the number of rigs that are drilling have increased. So that’s about it, Sanil, as far as energy is concerned, mainly our mill in Croatia.
Sanil Daptardar - Sentinel Investments: Great. Thanks.
Operator: The next question comes from William Florida at Advisory Research.
William Florida - Advisory Research: Hi, thank you. I just wanted to; you’ve talked about capital expenditure this year was likely to end up at $130 million. Could you break that down a bit and explain what that’s going forward?
Bill Larson: Almost all of it, Bill, are the carry-over projects that started last year. It’s the last of the spending on the melt shop in Croatia on the long product mill in Poland and the wrap-up on Arizona. It’s almost exclusively carry-over projects.
William Florida - Advisory Research: And do you have a kind of ongoing maintenance level?
Bill Larson: If you include Poland and Croatia, it’s probably in the $75 million to $80 million range.
William Florida - Advisory Research: This is just a term I had a question about. You talked about the divestiture program that applies only to the joist and deck assets, am I correct on that?
Bill Larson: Yes, that reference was just to theirs.
William Florida - Advisory Research: Thanks a lot.
Operator: The next question comes from Brent Thielman at D.A. Davidson.
Brent Thielman - D.A. Davidson: Hi, good morning. Thanks for taking my question.
Bill Larson: Brent, Good morning.
Brent Thielman - D.A. Davidson: Just on the recycling business. I guess with the pull back we’re seeing in scrap prices, are you running into new difficulties in terms of securing material at lower prices and maybe can you just comment on the supply situation overall?
Murray McClean: No, the flow is just still pretty good. Clearly, as scarp prices drop, the flows will start to decline. So, there’s no problem with flows. It’s not like over the winter period, where we did have issues with flows. Now, the flow is fine, but say, will reduce as prices decline.
Brent Thielman - D.A. Davidson: And then with the international mills, I think you’ve talked before about obviously having fewer competitors. I mean are you still continue to see pricing accelerate there or you’re starting to see some flattening out as well in those regions?
Murray McClean: It’s flattening out as well. The scrap has moved down a lot more. So, we expect, say in Poland, our metal margins this quarter to expand it’ll be better.
Brent Thielman - D.A. Davidson: Okay. And then I guess to that point, so I understand and I appreciate the guidance on the domestic mills, but I guess this pull back in scrap prices, could we potentially see sequential improvement in domestic mill metal margins?
Murray McClean: Yes, we anticipate that. We think shipments maybe a little bit lower this quarter than third quarter, but metal margin should be better.
Brent Thielman - D.A. Davidson: Okay. The shipment is the offset there?
Murray McClean: Right.
Brent Thielman - D.A. Davidson: Thank you very much.
Operator: The next question comes from Leo Larkin at Standard & Poor’s.
Leo Larkin - Standard & Poor’s: Good morning. Could you give us guidance for CapEx and DD&A for fiscal 2011?
Bill Larson: Don’t have CapEx yet, we’re right in the middle of that. So yes and no. Not very good on CapEx. DD&A is probably going to be in the 180 range, as we have Poland and Croatia come on line all the way, plus a full year of Arizona. So I would say you’re going to be in the 180 to 185 range, Leo.
Leo Larkin - Standard & Poor’s: Okay. Just directionally, would CapEx at worse case be same?
Bill Larson: I think directionally you’re going to see it in that somewhere between 150 to 200 range, something like that. It was relatively modest this year, because we’ve done a lot of stuff over these last three years. Now we had to do is complete these other projects. So I think it will be a little bit higher, but I don’t think it’s not going to be a blow at year by any stretch.
Leo Larkin - Standard & Poor’s: Okay. Any thoughts about the Australian mining tax, chances of that passing or any, just what is your view of that and how it’s going to kind of unfold?
Murray McClean: Well, I think it’s a big political debate, a lot, bit like the healthcare issues here in the U.S. I think the labor government from what I understand is from my colleagues in Australia under a lot of pressure to reduce that tax or modify. So that’s going to be a big election item this year in Australia. So it will be very interesting. Personally, I think it’s crazy. You know what they are doing, some formal tax here, but not of that magnitude of what they are doing. So anyway that’s a personal view. And I was born in New Zealand, so sometimes I could have a girl at Australia.
Leo Larkin - Standard & Poor’s: All right, thanks.
Operator: The next question comes from Brian Yu at Citi.
Brian Yu - Citi: In the press release, International Marketing and Distribution, there is a mention about still fighting contractual non-compliance issues. I am wondering if there’s, this is normal course of business or just carry-over from the big price drops that we saw last year.
Bill Larson: I think that was just a reference in comparison to last year when they were fighting that. I think that the magnitude of what we were experiencing last year is nowhere near what it is. Now it’s just a usual day in and day out dispute you have with customers and suppliers.
Brian Yu - Citi: And in the iron ore market that looks like it’s moving more towards a spot type. I am wondering if that impacts your international distribution business at all. If so to what extent?
Murray McClean: We are in the iron ore business on a spot basis, but traditionally, iron ore prices, even the old contract prices and the spot prices tended to merge and when there was a big gap or a big delta, obviously, whether it was the spot price would change or generally speaking, last five years, the contract prices moved up, as you know. Our view is probably iron ore prices are weakening and will continue to weaken for the next two months or three months before turning around.
Brian Yu - Citi: But, now that market is moving a little bit more towards spot. Is there a volume gain for you guys that you can probably participate greater in the market than what you’ve done in the past?
Murray McClean: I think it will be much the same. But we are only a very, very small player in iron ore. So, nothing much will change from that point of view.
Brian Yu - Citi: Okay. Thanks.
Operator: The next question comes from Sanil Daptardar at Sentinel Investments.
Sanil Daptardar - Sentinel Investments: Thanks. Sanil again. You talked about the inventories, restocking getting over and inventories probably I think have risen, but they are still historically at low levels. Would the distributors not continue restocking or what is going on in the space in that, because the demand is not there, they just don’t want to restock or whether the prices are coming down, they are waiting and opting wait and watch approach in order to rebuild the inventories?
Murray McClean: I think, Sanil, whether service centers or end use customers are still very cautious and certainly seeing international prices declining and some prices here in the U.S. coming off so that makes you even more cautious. I mentioned, customers in this environment sit back and wait and see and only buy what they really need to buy. So you’re right. The inventory levels across the supply chain still remain relatively low, which is a positive clearly. The customers are cautious. And I don’t see any big pick up in buying because the prices are lower. The reverse tends to happen. People will wait and wait till they think that they can get the very lowest price before buying or building in the inventory. So I think most people just remain cautious. And obviously, all this negative news around the world with the BP’s spill here in the U.S. and the Greece situation and anything negative spooks customers. And you need probably one quarter or two quarters of stability in the global economy before there is some level of confidence.
Bill Larson: Sanil, I’d also add that given the utilization rates on mills that for all merchants, there is no incentive for them to have to buy forward because they can still get delivery on a relatively short period of time. And I don’t know that the strength of the U.S. dollar which you would think, if the general economics works out would attract imports in the United States. I think following Murray’s line of reasoning, (inaudible) are not going to go out there with the three month to four month lead times and take plus higher quantities and possible price exposure in order to take advantage of possible imports. So I think they are in a wait and see mode.
Sanil Daptardar - Sentinel Investments: And how about the China’s withdrawal of tax credits might help the steel prices or your business?
Murray McClean: Yes, I think towards the end of this calendar year, I think the actions that China has just taken or about to take will be positive overall, because clearly, people worry about that huge production capacity that China has and they worry about any surge in export out of China, will clearly, we’ve said that for a long time as you know, Sanil. It’s not in China’s best interest to import high cost iron ore and then export low value steel. So we’ve the view that the Chinese government that is will take measures to curve their export. I’m not saying I’ll start export altogether, but they will slow them down significantly and probably focus mainly on the Asian market. So I think that’s going to be positive for the global steel industry, certainly, towards the end of this calendar year.
Sanil Daptardar - Sentinel Investments: So should one be thinking like your metal margin spreads might be expanding then in that case because if China is consolidating the steel sector and secondly, they are going to reduce the exports or curbing exports, then the domestic prices might remain firm and then lower input cost like iron ore or scrap might help the metal margins?
Murray McClean: Yes, I think that you could read that into it. But clearly, we need some pickup in demand too in end use market to help. As we forecasted this fourth quarter, we think our metal margins will be slightly better overall.
Sanil Daptardar - Sentinel Investments: Okay. Great, thanks a lot.
Murray McClean: Thanks, Sanil.
Operator: At this time there appear to be no more questions. Mr. McClean, I’ll turn the call back to you for closing remarks.
Murray McClean: Okay. Our Chief Operating Officer, Joe Alvarado, Bill and I will be on investor visits for the rest of the week. We’ll be happy to answer further questions during our visits. In the meantime, thank you for your attendance.
Operator: That does conclude today’s conference. Thank you for attending. You may now disconnect.